Operator: Good morning, ladies and gentlemen, and welcome to the conference call on ENGIE Financial Information as of May 5, 2017, organized by ENGIE, along with Ms. Isabelle Kocher, Chief Executive Officer of ENGIE, and Ms. Judith Hartmann, Executive Vice President and Chief Financial Officer. For your information, this conference is being recorded. Thank you for holding. Ms. Kocher, I now hand over to you.
Isabelle Kocher: Good morning to everybody. Thank you for being here this morning. We are pleased with Judith Hartmann, with our colleagues also, to welcome you for the presentation of our '17 first quarter results. Let me start first with the key messages we want to deliver today. Q1 results are in line with our expectations given the timing impact of a number of drivers that we confirm our '17 guidance. Our growth engines presented early March continued to post some performance, and we expect them to continue delivering growth over the next three quarters, thanks to our commercial successes and also to the pipeline of projects we have. And finally, we continued to progress on our transformation plan by shaping rapidly more focused and more profitable group. So first of all, a few figures. I'm in on Slide 2. Results are in line with our expectations, as I said, and compared to last year, we expect different earnings trajectory throughout the year, notably with outright production offering an unfavorable basis of comparison in Q1, which will then turn particularly favorable towards year-end. Thus the decrease of EBITDA in Q1 is in line with what we expected in our budget, allowing us to confirm our guidance for the year. As I said, our leverage has significantly improved and our financial solidity has been confirmed again as S&P reaffirmed a few days ago our A-minus rating, looking favorably to improving business risk profile and also the financial flexibility created by the transformation program. And Judith, you will come back later in detail on the results. Our gross engines continued to perform well with a mid-single digit COI growth recorded in Q1. I will give you just a few elements for this global growth, which is up 5% year-on-year globally and this three growth engines. First of all, for renewable and thermal contracted activities. These activities, they are flat year-on-year, which is in fact a rather good result given the exceptionally adverse climate conditions experienced throughout the sector for solar, for wind and for hydro production in Europe. Aside from better forex, operations mainly benefited from the contribution from asset commissioning mainly in Latin America, with in particular new thermal power plants in Peru, Chilca 900 megawatts and Nodo 600 megawatts. And also improved hydro conditions and optimized energy management in our Brazilian operations. Our infrastructure activities, they have increased significantly notably due to tariff increases in France and in Latin America. In LatAm, we also benefited from the first contribution of Los Ramones. It is Mexican project we commissioned end 2016. And finally on customer solutions, we enjoyed a very strong performance year-on-year, in line with our growth rate target. And it is worth mentioning that all three customer segments have contributed to this sustained year-on-year growth and this performance has been particularly driven by the continuous development of our portfolio of offers and the strong performance in Belgium and U.S. retail notably, but also by the first positive impact from the restructuring of French B2B supply and better margins also of our district heating and cooling network. So over the first quarter, strong dynamic of our growth engines from a growth point of view. And for the future the growth will be sustained by the commercial development and the operations we managed over the quarter. In low CO2 power generation, we have announced the acquisition of 100% of our subsidiary, La Compagnie du Vent, exactly as we did a few months ago with other subsidiaries, where we had minority stakes in this country. And this move enabled us to strengthen our position on the French wind and solar market, and furthermore since we now have the full control of most of our renewable assets in this country, which will allow us to extract additional industrial synergies. Recently also in April, we have entered the Chinese solar market by acquiring a minority stake in UNISUN. UNISUN is a photovoltaic power plant developer. We have won several solar projects for more than 400 megawatt in France and India mainly, respectively in March and in April. In France with this additional 80 megawatt, ENGIE is consolidating its leading position in this country with an installed or under construction capacity of more than 500 megawatt. And in India, following the 340 megawatt bid we won, ENGIE will reach a total capacity of a little bit more than 800 megawatt and strengthened leadership position as the major player in competitive solar. Finally in Q1, we started building our first high temperature geothermal power plant in Indonesia. It is interesting technology. It is a renewable technology of course, but non-intermittent, and which is now both efficient and economical. In geothermal, we start to be strong. We also won, during this quarter, a public service delegation contract for new geothermal heating network in the area of Bordeaux. And I have to say that they capabilities of Storengi [ph] which has all the drilling and underground expertise to manage. That project is extremely helpful. For global networks, now a few commercial or operational elements. We have announced in January that ENGIE and the other stakeholders - shareholders of GRTgaz will pursue negotiations for the acquisition of Elengy, the society - the entity that manages LNG terminals in France to both buy GRTgaz. This planned acquisition responds to the challenges of European gas infrastructures and to the needs of market players, and it is expected to help us gaining efficiency. Last week, the Nord Stream 2 project being pursued by Gazprom has taken an important step towards its implementation. This project responds of the need of the European Union for additional gas imports and for better security of supply. And then together with other companies, we will participate in this project. And then, finally a quick update on the Cameron LNG project, which is progressing well and is currently completed at roughly 70%. We anticipate that the commissioning of the three trains will take place between mid-2018 and mid-2019, will then a full commissioning reached in the course of '19. And third, customer solutions. In retail, we have been very active with new innovative offers launched in France that will help us continue developing our portfolio of power clients. We increased our client base in power by 200,000, hence reaching the 10% market share mark. We also continued to actively defend our market shares in gas with very limited decrease recorded year to-date. In B2B, we have just closed the acquisition of Keepmoat, which is a leader in building regeneration in the U.K. Our backlog of project in France has increased by 8% year-on-year, while the EBIT margin has increased by 40 basis points. We have a strong pipeline of new project and also new contract that should materialize over the next quarters. In B2T business for territories for places, the activity continues to enjoy a strong momentum both on our historical businesses, that is to say, district heating and cooling for example, but also on new markets like green mobility with new references. We also are very proud of the concession contract we won in natural with the Ohio State University in the U.S. Our teams worked very hard on the bid and our concession with action infrastructure was awarded this contract in April, terminating a more than two year long process in which 14 interested parties initially participated. This is frankly an outstanding project. It is a 50-year concession contract valued at a little bit more than US$1.1 billion and this contract has two sections. First we'll operate and optimize the University's utility system and notably development of projects to improve the energy efficiency by 25% within only 10 years. And second, we will build a new Energy Advancement and Innovation Centre for energy research and this will be a living laboratory for faculty, for students, alumni, entrepreneurs, industrial experts and ENGIE researchers to collaborate on the next generation technology, such as smart energy systems, renewable, energy and also green mobility. And this is really a flagship for further development in the United States. So the commercial dynamic is being strong over the last months, over the last quarter. Finally our internal transformation is progressing well. I just would like to give you two examples among others, two examples of new milestones. We continued to simplify our portfolio of activity and to improve our strategic and risk profile. We decided to exit from NuGen nuclear project in the U.K., so we are still available to support this project, the U.K. project and also the Turkish nuclear project we are in contact with, but through engineering and not via direct investment. So it means that in the nuclear sector, we are very strong operator in Belgium in particular. We are also very experienced services provider with all together about 8,000 people involved in this sector but no equity in new build. Second example, we have made further progress in adapting our group by launching an ambitious reorganization of our headquarters. The mission and the location of the Group's headquarters would be streamlined with a significant reduction in the positions and the closure of our headquarter offices in London. And after the implementation in January last year for new organization, which reinforces the geographical business units, this announcement gives one step further towards out intend to be more decentralized, more agile and closer to our customers. So I now hand over to Judith, who will detail the financial figures.
Judith Hartmann: Thank you, Isabelle, and good morning, everyone. I will give you an update on the transformation plan and on Q1 performance. Let's start with a quick update on the financial aspect of the transformation plan. We are staying ahead of schedule on investments, disposals and Lean 2018. Let me just focus on recent developments and start with investments. In the first quarter of 2017, we have continued to develop projects, which will generate future growth for the company. We have invested €800 million in growth CapEx, of which 75% into our growth engines. Our investments relate to solar projects in India, France, Chile and Brazil; wind projects in Brazil and France; gas infrastructures in France and the Cameron LNG project in the United States. On accumulated basis since early 2016, we have invested €5.5 billion in growth CapEx, out of €16 billion total envelop over three years. 78% of our growth CapEx is now committed and we continue to see a strong project pipeline fitting our investment criteria, including many renewable and downstream projects relating to B2B and B2T customers. You will remember that we have dedicated our around €2 billion of our total envelope to small tuck-in acquisitions. To-date we have spent roughly one quarter of that envelop. On portfolio rotation, in the first quarter, we have closed the sale of our thermal assets in the United States early February and of our coal assets in Poland. We are working of course on a number of disposal projects in parallel, so stay tuned. Our goal is to have announced 85% of the total target by the end of 2017. We continue to make progress on Lean 2018. You will remember that we have recently increased the overall Lean target by 20% and the teams are now working on defining action plans around this new target. We have made great progress in redefining the mission of the headquarters, which will lead to a further simplification of decision-making processes. The recently announced plan will lead to an overall headcount reduction of 25% at our headquarters. Let's now look at the year-on-year evolution of EBITDA over the first quarter of 2017. EBITDA at €3.3 billion is in line with the full-year expected trajectory, despite a negative volume impact during the first quarter. Year-on-year, EBITDA is down 3.6% organically when excluding the impact of foreign exchange, scope and the new treatment of the nuclear tax. As we announced during our full-year '16 results presentation, as from 2017, the nuclear tax is booked at the EBITDA level and was around €30 million in the first quarter. The positive foreign exchange impact of around €78 million mainly comes from the Brazilian real, and to a lesser extent, from the Norwegian kroner and the U.S. dollar. The negative scope impact of €130 million comes mainly from the sale of the merchant assets in the U.S., as well as Paiton in Indonesia. Now let's have a look at the organic drivers of EBITDA. The price impact is almost flat year-on-year. We saw a significant positive impact from the European thermal fleet as we benefited from the increase of clean spark spreads locked in at the end of last year with respect to volumes of the first quarter 2017. We also have positive price impacts coming from our international generation assets mainly in LatAm, notably in Brazil and in Australia. Finally gas infrastructures in France benefited from the annual tariff indexations that took place last year. These positive price impacts were offset by negative effects from the midstream gas activity mainly due to timing and from lower achieved prices on outright production, namely nuclear and hydro. Volumes are down by around €200 million, mainly due to lower outright volumes, nuclear in Belgium, hydro in France and E&P, partially compensated by decommissioning of new assets and a slightly favorable temperature impact in France. E&P volumes have been mainly impacted by the planned shutdown of Njørd field last summer as the platform was moved onshore for refurbishment. The lower nuclear volumes mainly relate to the outrage of Tihange 1. We expect the plant to restart at the end of May. Renewable output in France, mainly hydro, has been significantly down over the quarter. Temperature in France has been cooler than in Q1 2016 with a year-on-year positive impact of €36 million. Commissioning of new assets delivered a contribution in line with our expectations of close to €100 million. Lean 2018 delivered a positive impact of around €50 million in Q1 2017, and we expect a stronger ramp-up over the remaining quarters. We are very confident in the 2017 target and every business unit is valid behind this goal. To sum up, a few non-linear items have impacted Q1. For the full-year 2017, we confirm our expectation. At the bottom of this slide, you can see the organic EBITDA variations by reportable segment. I will go quickly through the main variations. The EBITDA of the segments GEM & LNG, Benelux and France are down year-on-year, mainly due to the negative impact of commodity prices, as well as the nuclear outage of Tihange 1 and poor hydrology. The North America segment is flat year-on-year, as lower performance from power generation activities is compensated by improved performance of commercialization activities and by cost-cutting. The EBITDA of the segment E&P is almost flat given that the volume impact mentioned earlier have been compensated by reduced OpEx. The EBITDA of the segment Latin America is significantly up year-on-year, thanks to the commissioning of new assets in Mexico and Peru, favorable price impact in Mexico and Chile, as well as better performance of our hydro assets in Brazil. The EBITDA of the segment Infrastructures Europe is up year-over-year benefiting from the positive impact of tariff indexations for transmission and distribution activities in 2016. Within the segment Other, EBITDA has been driven by the very good performance of thermal generation assets in Europe, benefiting from the high spreads that I mentioned that were locked in at the end of last year with respect to volumes of the first quarter 2017. Please note that gas and power sales to B2B customers in France are now booked in the segment Other, as from January 1 of 2017. The next slide illustrates the non-linearity of our earnings trajectory in 2017. This was expected and was part of our full-year guidance. Indeed on Lean 2018, the Q1 contribution represents around 15% of the yearly target of €320 million. This is in line with the full-year target as we expect the recent program upgrade to ramp-up over the remainder of the year. On the gas midstream activity, we are in the final stages of a gas supply contract renegotiation, which will positively impact the rest of the year. Contribution from new assets commissioning is expected to be stronger in the remainder of this year as some assets progressively ramp up. Last, we expect stronger volumes over the next three quarters, mainly driven by improved nuclear production as Tihange 1 is expected to restart at the end of May. Production was down 9% year-over-year over the first quarter. Remember that last year we were impacted by outages at Tihange 1 and Tricastin in the second half of the year. Normalized hydro production levels in France will be a positive. Production was down 26% over the first quarter. Better E&P production, as we expect further ramp up at Cygnus and the start of production at [indiscernible]. Production was down 14% over the first quarter, mainly to the planned shutdown of Njørd, that I had already mentioned. Now let's look at our financial structure and you can see that continued strength there. We benefited again from a strong cash generation in the first quarter, driven by a favorable change in working capital, and second, by the positive impact of the portfolio rotation program, notably with the U.S. transaction booked in February for an amount of €3 billion. At €20.4 billion at the end of March 2016, net debt therefore continues to decrease compared to the end of 2016. As a reminder, it was €24.8 billion at the end of 2016. As a result, our net debt to EBITDA stands at 1.95x at the end of the quarter, improving versus the end of last year and is significantly below the 2.5x limit that we had set. The cost of debt has continued to decrease as well and today stands at 2.74. This reflects the favorable market environment of course with low interest rates, but not only it also is proof of our liability management initiatives, the optimization of our financing operations and our credit strengths. As mentioned by Isabelle, S&P has recently confirmed our credit rating. I will now hand over to Isabelle for the concluding words.
Isabelle Kocher: Thank you, Judith. So to recap extremely quickly, we confirm our '17 guidance. Q1 is in line with our expectations, and these results benefited from the underlying sound contribution from our growth engines. Our financial structure has improved further, which is - which gives us comfort and flexibility to pursue a transformation program with certainty and with conviction. Our next events now. So first of all, the AGM taking place in the coming days, next Friday exactly, followed by the payments of the final dividend. And we intend to organize, as we did last year, in June an investor workshop in London dedicated to our customers solution activities. So it will be an opportunity for further conversations. And then just to mention that all our teams are fully engaged in our transformation journey. This is an enthusiastic move, but moreover, this is a successful path towards sustainable and profitable move. And now we are available for questions.
Operator: Thank you. [Operator Instructions]. We would now take our first question from Vincent Gilles from Credit Suisse. Please go ahead.
Vincent Gilles: Yes. Good morning, everyone. Apologies, I seem to have a problem finding the slides on your website, so maybe some of my questions will be redundant. But my first question is on the weather impact. You sent us these weather correction slide a couple of days ago, but if you could come back and help us understand low hydro pure weather on the different business and the impact and how much the normalization over the second half of the year will help or the three quarters left will help? And the second question is on disposals. I understand you will not share secrets with us, but if you can help us understand on E&P where you are and where you hope for, for the rest of the year. That would be very helpful. Thank you.
Isabelle Kocher: So I will just start with E&P without saying anything, as you can imagine, just to confirm that we are under negotiation and very optimistic in our ability to dispose this asset. And then I ask Judith to go back more specifically on the weather impact.
Judith Hartmann: Yes, so on the weather impact, I mentioned about €30 million impact positive on the quarter. So when I look at the first quarter of 2017, we were - it was actually warmer than a normal year by the 0.9 terawatt hours but last year was - the impact of the last year's is nevertheless positive. So I think that's the first comment I would make, and that's on the temperature in France, and you know that's one of the big things that we look at. One of the other thing of course that I've alluded to is that are generation Europe business has strongly benefited from the fact that in the first two months of the quarter, we had cold weather in lots of parts of Europe and not much wind, not much solar. And so really our gas plants were in full operation, which was a very significant positive impact over the quarter. In fact, we generated - the generation Europe business was able to generate €100 million of positive impact and was able that way to offset some of the pressure that we've seen in other areas or partially offset at least some of the pressure we've seen on the hydro impact mostly in France.
Vincent Gilles: Thank you.
Operator: We would now take next question from Michel Debs from Citigroup. Please go ahead.
Michel Debs: Good morning. I have three questions please. The first one regards your cash flow generation. So if I understand correctly, the cash flow generation improved by just over €1 billion, but out of that there is a €1.5 billion positive impact from working capital and margin cost, because you have less of that than you had last year. At the same time, you probably are under pressure because we have scope effect. So what I would like to do please is understand on an organic basis, where we exclude scope effect and where we exclude currencies, how did cash generation change Q1 '17 versus Q1 '16? My second question is regarding your EBITDA. You have the ambition to have 85% at least of your EBITDA that is contract or regulated at the end of transformation plan. Could you just tell us where you are today on that metric? And the last one regards your French hydro concession system. In March, a few weeks ago, the French government wrote to the EU to ask for an extension of the concession that you have along the Rhône River, or CNR. Do you know when we will have an answer from the EU and how soon we will know that those concessions are safe for the long-term? Thank you very much.
Isabelle Kocher: So I will start with your third question, and then hand over to Judith for the two first ones. So as far as French hydro is concerned, you are perfectly right. We have reached to a case we consider from a legal point of view and then the French state asked the EU to validate the extension of our concession for 10 years. So the file is now on the desk of the European Commission and we expect an answer in 2018, so roughly one year from now. And now Judith on cash and EBITDA.
Judith Hartmann: Yes, so on cash flow first, your question was the impact of scope. So by definition, there is very little impact on this because we are looking at our operating assets in our cash flow definition. You mentioned the impact indeed of margin cost, which was one of the biggest impact in comparisons last year. In fact you may remember, we had an impact last year, and so year-over-year, there is about €1 billion on margin cost difference, and then there is about €200 million on operational working capital, which quite frankly is relatively in line with the EBITDA, so not much to say there. Then you had a question on our ambition to be at 85% contracted regulated at the end of the transformation period. Today we are at 78%, and so that's a very good progress there and I am fully confident that we will be at the 85% at the end of the transformation.
Michel Debs: Thank you very much.
Operator: [Operator Instructions]. We would now take our next question from Peter Bisztyga from Bank of America Merrill Lynch. Please go ahead.
Peter Bisztyga: Yes, good morning. It's Peter Bisztyga. Just a question on Tihange 1. What are the risks that the restart of that could get delayed beyond the end of May and also could you explain whether the reason for the outage there is something that could ultimately impact your other nuclear assets? Thank you.
Isabelle Kocher: Okay, so on Tihange 1, we are very confident that it's going to restart, as we said, at the end of May. You will remember it's - the outrages related to works in building that is not related specifically to the reactor, and so there is some see civil works going on there which are well progressing and we are, like I said, confident that this can be done by the end of May. Your question on an impact of other nuclear assets. In fact, obviously very good question because what we have been - what the teams have been working on already in this time of Tihange 1 outage is to partially offset and really trying to increase as much as possible the availability of the other reactors and they have been able to compensate partially the Tihange 1 outage, but obviously that's work that is going to continue. But like I said, good progress on getting the planned back up and running for the end of May.
Peter Bisztyga: Thank you.
Operator: We would now take our next question from Vincent Ayral from JP Morgan. Please go ahead.
Vincent Ayral: Yes, good morning. Three quick questions. First, when I look at these numbers, it seems like there would be a slight miss on the both EBITDA and EBIT of close to €100 million. We don't have necessary that the reporting at the divisional level there. So I'm trying to understand where we could have actually missed the amplitude of one of the negative factors you have in Q1? What has been especially strong which either we could have missed or was not fully envisaged? So that's the question number one. Question number two, within the oil price weakening recently and everybody is waiting for an announcement on the E&P sale, I'd like to know if you could give us some color on the discussion and how things are going on this side of things? And question number three, there have been some rumors about large M&A either energy on others, and this is a recurring concern amongst investors. I'd like to know if you could comment on this specific points, so is it really something you are envisaging looking at or not at all for this period of time. And I think it would be great if you have some clarity on this last point. Thank you.
Isabelle Kocher: So I will very simply answer your third question, as I already did by the way. So we have no project. Our priority is to implement the transformation program. So now, Judith for the two questions, start more specific figures.
Judith Hartmann: So your question on EBITDA being lower than what you had expected. I would mention three items that I put forward already, which is the outage of Tihange 1, the reduction of the production at E&P and the hydro impact at CNR, which is our French hydro asset. And again if I take them one by one very quickly, Tihange 1 obviously I've just talked about and I said it's going to come back up in June. E&P, this was planned - I don't know if it was as visible to you because we don't give quarterly guidance. I don't know if you have that visibility when you were doing your quarterly model but this was planned. It's a planned refurbishment basically of one of the platforms, which is Njørd. Then of course hydro, you've seen it from some of our peers also when they did their result presentation, huge pressure on hydro in all of Europe at the beginning of the year, there wasn't enough order basically. So those were the things I would mention.
Isabelle Kocher: We can also add that, in fact as you know, we systematically renegotiate our gas supply contract. This year we performed - we are always extremely discrete on this kind of element that the first quarter we renegotiated very important supply contract with an effect that will be extremely important for us over '17, but with this effect not on Q1 but spread on the rest of the other years. So that's an additional element.
Isabelle Kocher: And then I think you had a question on the oil price moment. So as you know that we have hedging policy, a progressive hedging policy I should say, and so the recent movements don't impact us as much. I look at our hedging ratios here of oil and gas for the rest of the year and we are, I would say, close to two-thirds hedged, and so it doesn't - the spot prices quite frankly don't impact us as much as you would expect.
Vincent Ayral: And just on the last question, it was regarding the E&P sale. What type of impact it could have on that and where are we because low oil price could mean potentially lower resale price or could potentially lengthen negotiations or reignite a few points. Could you comment on that? Thank you.
Isabelle Kocher: Okay, yes, great question. We are in final stages of the negotiation, and of course as you look, when you work on a transaction of this size and assets that are this long-term, you don't - the spot prices is one element, but really what you look at is the long-term price curves that you are expecting. And so those elements are well aligned between us and the potential buyer, and so there is no movement on that side. In fact, I would add on a positive note, obviously in comparison to last year, there has been improvements on the outlook on oil prices, oil and gas prices for that matter, and so that's been helpful in the recent discussions.
Vincent Ayral: Thank you.
Operator: We would now take our next question from Ajay Patel from Goldman Sachs. Please go ahead.
Ajay Patel: Ajay Patel from Goldman Sachs. Just very quick question. Is there a development fee for the new Middle Eastern asset this year, and when would you expect any sort of order of magnitude or impact?
Isabelle Kocher: So we were just checking out. There is only one project on which we got development fee over the quarter, which is Fadhili, which is a very big plant we won and we are currently building in Saudi Arabia, but not a lot of - so it's not the scale of work not extremely massive for Q1.
Operator: We would now take our next question from Emmanuel Turpin from Société Générale. Please go ahead. Emmanuel, please go ahead. Your line is open. It appears participant…
Emmanuel Turpin: Sorry, can you hear me? Sorry about this. My first question is about the gas storage business. Reportedly the capacity booking season has been quite poor in France. I was wondering if you could share with us the order of magnitude of the shortfall versus budget for the full-year concerning this activity, and how confident you feel that you'll be able to obtain a revision of the rules to basically improve the economics of this business once we have a new government in France. That would be the first question. Secondly coming back on your comments on the performance of the thermal fleet, I believe you said it had benefited from higher volumes at the start of the year and I heard the figure of €100 million. Is it €100 million positive swing or improvement in EBITDA, or is it an absolute figure for the EBITDA of the first quarter? And still on the thermal fleet in Europe. Are you still open-minded regarding an optimization of this fleet to maybe through combination of partnerships in Europe? And last question would be an update regarding plans to do something with the Benelux entities, as we have discussed on previous calls. Thank you very much.
Isabelle Kocher: So just will start with the last one. On Benelux, so it is of course still in our view to discuss with the Belgian government and we started in fact to look at the way to recreate around our Belgian assets pool of players that would be able to protect volume in the future. So it is now possible after the negotiation of the extension of our oldest plants in this country, and as you know, the negotiation of a new fiscal framework but it will take of course a little bit of time in our projects. Judith?
Judith Hartmann: So your two other questions were, one, on gas storage, where in fact, yes, we did mention that the capacity bookings are lower and so that creates some pressure on that business. In fact there is two elements I would mention there. One is the capacity bookings, and then of course the spreads that are lower than they have been that we've seen in the past. So like you mentioned, it's going to be increasingly important for us to look at this framework and we are looking at that with the regulator. This really is an element of security of supply for France and so we are constructively looking at the solutions on how we can improve the situation of the storage business with a regulator. I think it's really important for the full French environment and the economy here. So the impact pressure for the total year could be around, I would say, the €50 million on EBITDA. And so obviously we are looking at how we offset this and we've mentioned some of the positive things we're working on. You had a question on thermal. The €100 million I mentioned is indeed year-on-year improvement significant. It's very positive. And really for us it is a great example of energy transition at work and the place of gas in this whole mix, because like I mentioned, really the teams were able to benefit from situations when the intermittency of the renewables in wind and solar led to a shortfall of energy production, and we are able with our gas plants to make up for that shortfall and benefit from the high prices, obviously the high spot prices, by keeping a sort of percentage unhedged in that business, so very significant improvement. You've asked about would we be open to optimization our partnership. What I would say, operationally the team has done a tremendous job. To come to this kind of level of profitability in one quarter, taking advantage of a short-term situation goes to show the big testament to the excellent work. And so I would say organically we've done a lot on optimizing the fleet already. Partnerships, we are not looking at anything concrete at the moment but let's see if there is any opportunities but I would - I really want to stress the huge work that was done by the teams to improve the profitability and be able to have a flexibility now to take advantage of the situations as they arise.
Operator: We would now take our next question from Carolina Dores from Morgan Stanley. Please go ahead.
Carolina Dores: Hi good morning. Thanks for taking my questions. I have two. I'd like to come back on the gas contract renegotiation, if you could give us some guidance on the performance of the general LNG business for this year? Should we expect a flat performance versus 2016, or should it still be a bit weak? And my second question, if you could give us a bit of granularity on the guidance because we've seen first quarter, you probably have an idea of how the improvement [ph]. Are you tilting towards the upper or the downward range of the guidance at this moment? Thank you very much.
Isabelle Kocher: So on the gas renegotiation, no, we cannot say more. But I really give the floor to Pierre Chareyre, our Executive Committee Member in-charge of upstream gas and in particular LNG, just to give you a flavor on the trends, let's say, in this LNG business as we saw them over the first quarter. Pierre?
Pierre Chareyre: Yes, hello. Good morning, everybody. So on long-term contract, in fact you remember that we renegotiated our contract with Gazprom and Statoil in 2016, and so we continue to adopt impermanence our portfolio. Obviously the target is to shift from oil indexation and that is the long-term goal, and also obviously to make those contract fully competitive based on market prices. And this transformation is ongoing, and I think we are quite successful because, I think, most of the producers have now understood that that gas market was linked to the gas market prices and not to the oil prices. Having said that, so this is for the - generally speaking and we are obviously also working on our LNG portfolio. And on that side, I would say that we have a change to have a portfolio which compared to other players in the LNG market is fairly well-balanced. We have long-term sales contract offsetting the purchase contract which we have made, and therefore we are not really suffering from the long - from the status of the market, which as you know, is at the moment and probably for a few years to come, very much under pressure because of the new liquefaction facilities coming on stream both in Australia and in the U.S. Thank you.
Judith Hartmann: And on your question on guidance, of course we just announced our guidance about a month and a half ago, so we don't have any reason to change it. Now it's early days but we are very confident on being at our guidance and so obviously we'll keep you updated in our second half presentation on as things become more visible in terms of risk and opportunities but very confident on the full-year guidance.
Operator: We will now take our next question from Vincent Ayral from JP Morgan. Please go ahead.
Vincent Ayral: Hi, good morning again. A few follow-up questions when we talk about security of supply and the necessity potentially to get on the regulation on gas storage, I would like to get some color on what was the situation when we had the nuclear outages in France? I understand that gas has been turning at full in order to ensure secured supply on the electricity side of things, but as well it would be interesting to know if what was the situation on capacity bookings and if there was any margin for error during this time on either the gas side of the business or the electricity supply side? Second question, longer term regulatory intervention could be necessary in the power markets for security supply, so I keep this slide. It could potentially result in carbon floor coming back in France, as said by Macron's [ph] program if we were to win on Sunday. What is your view there? I understand you were net a beneficiary in both Belgium nuclear and your French hydro. Would this be the case and [indiscernible] industry CO2 floor bill in France? And finally the third question regarding Yemen LNG. What is your assumption on the restart of this potential project, which have been stopped due to war, and if there are any lights at the end of the tunnel or should we assume that this will not restart for a number of years? Thank you very much.
Isabelle Kocher: So on Yemen, we look at that if we start as a positive option that we have - we don't come from that for our guidance. We have made the assumption that we wouldn't get any volumes from Yemen in '17. So it would be a positive additional element. Carbon floor is a real, real, real opportunity for us. We would be a net beneficiary, as you said. By definition, I would say since we are profiled now as an energy producer, it's extremely low CO2, so carbon floor would be, for LNG, a very good news. Security of supply. You're right, it was a big challenge for the European market but probably especially for the French markets, and in particular, in the Southeast of France with the congestions on both power and gas supply because at the same time we had no wind, very high proportion of French nuclear not available, and then it is, I believe, really an opportunity to make that players, regulators, institutional, they are more aware of the fact that security supply is really something we have to manage more carefully. And then as you know, maybe we push for months now changes in the regulation, in particular in the way to regulate the storage, the gas storage capacities because - and it was a former question this morning, the level, the proportion of capacities that are booked now by players, by gas producers and gas suppliers is lower and lower. It is - for the first term there is an iterative process for the gas. The French gas storage is roughly 43%, which is low. And then this period, a few months only but extremely illustrative of the risk we have collectively, and then I believe the strong support to get the additional regulation changes we need for both gas storage but also capacity payment for power, for the thermal fleet, which is now, as you've seen maybe in the winter package. So it is - it will come. We push for that. It is necessary for security of supply, and so of course also for us an opportunity to value a better way our assets in Europe.
Operator: We will now take questions from Sam Arie from UBS. Please go ahead.
Sam Arie: Good morning. Thank you. Very simple question. With regard to EBITDA guidance for this year, which is around €10.7 billion to €11.3 billion, I'm just noticing that in your release this morning, at least in English language version which I was using, I think you've put €10.77 billion to €11.3 million, so I just wondered that it would be a chance to confirm whether that you've brought the bottom end of the range up €70 million, or is that the typo in your EBITDA guidance? That's my only question. Thank you.
Judith Hartmann: Okay. That sounds like a typo. We are not changing our guidance there. So we'll make sure it's corrected.
Sam Arie: All right, thank you.
Operator: There are no further questions.
Isabelle Kocher: So if no further questions, thank you for having attended this conference call. Have a good day.